Operator: Good afternoon, everyone, and welcome to the Cross Country Healthcare's Earnings Conference Call for the Fourth Quarter 2025. Please be advised that this call is being recorded, and a replay of the webcast will be available on the company's website. Details for accessing the audio replay can be found in the company's earnings release issued this afternoon. At the conclusion of the prepared remarks, I will open the lines for questions. I would now like to turn the call over to Josh Vogel, Cross Country Healthcare's Vice President of Investor Relations. Thank you, sir. You may go ahead.
Joshua Vogel: Thank you, and good afternoon, everyone. I'm joined today by our Chairman of the Board and Chief Executive Officer, Kevin Clark; as well as Bill Burns, our Chief Financial Officer; Marc Krug, Group President of Delivery; and Amiee Hawkins, Chief Solutions and Operations Officer. Today's call will include a discussion of our financial results for the fourth quarter of 2025 as well as our outlook for the first quarter of 2026. A copy of our earnings press release is available on our website at crosscountry.com. Please note that certain statements made on this call may constitute forward-looking statements. These statements reflect the company's beliefs based upon information currently available to it. As noted in our press release, forward-looking statements can vary materially from actual results and are subject to known and unknown risks, uncertainties and other factors, including those contained in the company's 2024 annual report on Form 10-K and quarterly reports on Form 10-Q as well as in other filings with the SEC. The company does not intend to update guidance or any of its forward-looking statements prior to the next earnings release. Additionally, we reference non-GAAP financial measures such as adjusted EBITDA or adjusted earnings per share. Such non-GAAP financial measures are provided as additional information and should not be considered substitutes for or superior to those calculated in accordance with U.S. GAAP. More information related to these non-GAAP financial measures is contained in our press release. With that, I will now turn the call over to our Chief Executive Officer, Kevin Clark.
Kevin Clark: Good afternoon, and thank you for joining us. As you know, 2025 was a challenging year for Cross Country Healthcare. The pending merger introduced uncertainty for our employees and our customers, which weighed on our growth during the year. With that process now behind us, we have improved momentum and a renewed focus across the organization. However, what did not change was the strength of our client relationships, the quality of our clinicians or the financial strength of our balance sheet. I stepped back into the CEO role with a clear objective: restore momentum, sharpen execution and position the company to grow faster than the market again. As reflected in the recent Becker's article on Cross Country, we are advancing a strategy built on operational rigor, technology-powered workforce solutions and disciplined capital allocation to drive long-term shareholder value. We enter 2026 with no debt and a significant amount of cash, providing us the flexibility to invest in growth initiatives that generate durable returns. Our priorities are straightforward. Simply put, we must expand our market share within large health systems, capture new logos across our divisions, improve operational efficiency and speed to fill and leverage technology as a differentiator. I am confident that this will be a year of execution and acceleration. The opportunity in front of us is meaningful and with disciplined execution and renewed commercial focus, we expect to return to revenue and earnings growth by the end of 2026. Now turning to our business performance. I'll start with discussing the markets we serve and the actions we are taking to achieve growth in 2026 and beyond. Looking at the health care staffing market and travel in particular, we believe that the industry has stabilized and is poised for growth in 2026. With stability in both demand and in bill rates, clients are increasingly focused on the speed to fill rather than reducing contingent labor, signaling a shift to a more normal operating environment. This is evident in our weekly production since the start of the year, which has outpaced the fourth quarter. For the first time in more than three years, we are anticipating travel to be flat to up slightly on a sequential basis with projected travelers on assignment growing each month into the second quarter. Contributing to the improved production is our growing book of business. As highlighted in our third quarter 2025 earnings release, we successfully renewed, expanded and won more than $400 million in contract value, predominantly with our MSP clients. Given our robust pipeline of sales activity across multiple business lines, we are well positioned to expand our portfolio and secure new clients in 2026. Shifting to gross margin. We expect travel will continue to experience a tight bill pay spread as competitors jockey for market share. As a leader in this space, Cross Country will remain competitive to protect and grow clinicians on assignment. Although we do not anticipate margin pressure easing for the travel business in the near term, we will seek to maintain and expand our consolidated gross margins through growth in our higher-margin businesses, which had aggregate annual revenues over $350 million last year. We see a path for growth across all our lines of business through our growing proprietary technology portfolio anchored by Intellify, our market-leading workforce intelligence platform that supports virtually all of our MSP and vendor-neutral programs. Through this technology, we've delivered predictive visibility, optimized clinician deployment and improved labor cost management for health systems. At its core, Intellify is a highly scalable VMS capable of managing all staffing categories including physicians, per diem and internal resource pools or travel programs. And we are seeing growing interest from other staffing organizations seeking to leverage the platform within their own offerings. In 2026, we plan to expand Intellify into the home-based and education staffing markets, extending its reach into adjacent sectors that demand scalable workforce solutions. Our software portfolio also includes Xperience, an established mobile platform actively used by health care professionals to discover opportunities and manage their careers digitally, strengthening engagement and retention across our talent network. Our staffing business remains a strong foundation, but our long-term growth strategy is increasingly powered by our proprietary technology portfolio, enhancing client value, improving efficiency, expanding margins and creating scalable recurring revenue streams. These solutions represent the continued evolution of our broader technology road map. Our objective is not to move away from staffing, but to transform how workforce solutions are delivered. Our other technology priorities involve automation across the enterprise through AI and other means such as the rollout of the middle office functionality within our ERP. Unleashing the power of AI will improve speed to market and boost recruiter productivity, while the completion of the ERP project will improve our efficiency in back-office operations. It's clear that technology is central to how we will grow and deliver better outcomes while improving efficiency and productivity, but it is not the only lever we are pulling to drive top line growth. Since the start of the year, we have made conscious and purposeful investments in revenue producers across the organization, primarily funded by redeploying cost savings we were able to identify and act quickly upon. In the first quarter, we have added several dozen revenue producers, including recruiters, account managers and sales professionals, and we are already seeing positive results from these investments. Looking ahead, I believe we will see sequential progression across 2026 with both top line growth and improved profitability. Bill will cover the first quarter guidance, but our goal is to exit 2026 with a revenue run rate north of $1 billion and an adjusted EBITDA margin of 4% to 5% and on a path to higher margins for 2027. With a strong balance sheet and more than $100 million in cash on hand, we are well positioned to accomplish our goals. We will be diligent and purposeful in deploying capital with an eye towards a mix of complementary acquisitions and returning capital to shareholders through continued share repurchases. One of the biggest strengths for Cross Country is our high-performing, highly engaged team, both here in the U.S. and in our center of excellence in India. I've had the pleasure of seeing a lot of familiar faces as well as meeting new ones over the past three months. And I could tell you that I'm truly excited by their focus, energy, teamwork and execution. I want to take this moment to thank all of our employees for your hard work and steadfast commitment to making Cross Country the best in the industry. I also want to thank all of our health care professionals for your continued dedication and contributions as well as our shareholders for believing in the company. In closing, I'm excited to be back, and I'm equally excited about what lies ahead for Cross Country. With that, let me turn the call over to Bill.
William Burns: Thanks, Kevin, and good afternoon, everyone. It's great to be speaking with you all again and to share some insights on our results as well as the business. Since we've not held quarterly earnings calls throughout the past year due to the merger, I'll spend a bit of time focusing on the full year in addition to the most recent quarter. As noted in today's press release, consolidated revenue for the fourth quarter was $237 million, down 5% sequentially and 24% over the prior year, while full year revenue was $1.05 billion, down 22% from the prior year. The majority of the decline for both the quarter and the year stems from the prolonged period of normalizing contingent utilization by clients across our core Nurse and Allied businesses, most notably Travel, Nurse and Allied. I'll go into the segments in more depth in just a few minutes, but we're pleased to see a slow turning in those businesses as we enter 2026, pointing to a return to a more normal cycle for contingent labor. Gross profit for the quarter was $48 million, which represented a gross margin of 20.3%. Gross margin was down 10 basis points sequentially, but up 30 basis points over the prior year. Throughout the year, gross margin was relatively stable, ranging between 20% and 20.4%, with the majority of the fluctuation stemming from mix shifts across the portfolio, which partially muted the continued margin pressure within travel. Moving down the income statement. Selling, general and administrative expense was $51 million for the quarter, up 9% sequentially and down 8% over the prior year. Full year SG&A was $200 million compared with $233 million in the prior year, down 14%. SG&A for the quarter and the year included nonrecurring severance costs related to the recent CEO change. Excluding those costs, SG&A would have been $43 million for the quarter and $186 million for the full year, representing declines of 19% and 16% over the respective prior year period. The majority of the reduction in SG&A comes from the reductions in U.S. headcount, which was down 21% from the start of the year. We continue to tightly manage our costs as well as leverage technology and our center of excellence in India to reduce our overall cost of labor. Coming into 2026, we further reduced headcount in the United States and anticipate we will identify further cost savings as we progress through the year. As Kevin highlighted in his comments, we are redeploying some of those cost savings with investments in revenue producers, which we anticipate will fuel organic growth throughout the year. Adjusted EBITDA was $4 million for the quarter and $27 million for the full year, which as a percent of revenue was 1.7% for the quarter and 2.5% for the full year. The decline in margin across the year was driven primarily by declines in revenue and continued bill pay spread compression, most notably in travel and partly offset by the cost savings I mentioned a moment ago. I'll speak to guidance in a moment, but as we progress through 2026, we expect to see improved operating margins as we realize organic top line growth and continued operational efficiencies. Below adjusted EBITDA, there are a number of items to call out. First, with the recent decline in share price following the termination of the merger agreement, the company recorded noncash impairment charges of $78 million principally related to the indefinite-lived assets such as goodwill as well as the abandonment of certain trade names. Acquisition and integration charges were a net credit of $16 million for the quarter and $3 million for the full year due to the receipt of the $20 million merger termination payment. We also recognized net interest income of $300,000 for the quarter and $1 million for the full year as we maintained a substantial cash position and had no debt outstanding aside from letters of credit. As we progress through the year, we will be exploring the renewal and rightsizing of our credit facility in an effort to bring down the carrying costs of the unused facility. And finally, on the income statement, we realized an income tax expense of $12 million in the quarter and $11 million for the full year. The significant impairment charge noted a moment ago triggered the recognition of a valuation allowance on our deferred tax assets. However, the company fully expects to utilize all of its NOLs as profitability improves. Turning to the segments. Nurse and Allied reported revenue for the quarter of $194 million, down 4% sequentially and 24% from the prior year. Travel, our largest business within Nurse and Allied, was down 9% sequentially and 30% from the prior year, entirely driven by a decline in travelers on assignment as average bill rates remained stable. As Kevin highlighted, we are optimistic that the travel staffing market appears to be reaching an inflection point as we are seeing the average number of travelers on assignment holding steady in the first quarter, and we project that to rise into the second quarter despite seasonal winter needs subsiding at the end of the first quarter. Our local and per diem business closed the year with $19 million in revenue, which was down 8% sequentially, a slightly faster decline relative to travel. We continue to believe this roughly $80 million business plays an important part in meeting client needs for urgent needs of clinicians at the shift level and continues to operate with a gross margin close to our consolidated average, which remains several hundred basis points higher than our travel business. Also within Nurse and Allied, our Education Staffing business reported revenue of $18 million, up 48% sequentially as schools returned from the summer recess. We saw this business decline approximately 7% on a year-over-year basis, largely driven by the in-sourcing of roles at several of our larger clients. For the full year, education revenue was $71 million with a gross margin of approximately 28%, and we believe this business will return to growth in 2026. Finally, our home-based staffing business once again experienced strong organic growth with revenue of $34 million in the fourth quarter, up 34% over the prior year. We anticipate the growth trajectory for this business will continue, especially with an aging U.S. population and strong evidence remaining in the home drive better outcomes at a lower cost. Looking at our only other segment, Physician Staffing reported $43 million in revenue, which was down 20% from the prior year and 12% sequentially, principally due to a decline in billable days across several of our top specialties such as hospitalists, anesthesia and CRNAs. Revenue per day filled was up 10% year-over-year, driven by modest increases in bill rates as well as favorable mix. Turning to the balance sheet. We ended the fourth quarter with $109 million in cash and no outstanding debt. With the health of our balance sheet, we remain well positioned to make strategic investments as well as execute on our capital allocation strategy. In December, we repurchased more than 800,000 shares of our common stock or 2.5% of the shares outstanding at an aggregate price of $6.8 million. In the first quarter of 2026, we continue to repurchase shares under our 10b5-1 trading plan and as of today, have bought an additional 486,000 shares. Given we believe that our stock does not reflect the underlying value of our business, we anticipate making further share repurchases throughout the balance of the year. From a cash flow perspective, we generated $18 million in cash from operations during the quarter and $48 million for the full year. Included in these amounts were the costs relating to the merger transaction incurred throughout the year and the subsequent termination payment, which essentially offset those costs incurred on a year-to-date basis. Our DSO in the fourth quarter was 58 days, in line with our stated goal of 60 days. Cash used in investing activities was $2 million, primarily reflecting capitalized technology investments related to ongoing projects such as the continued expansion of features and functionality for Intellify as well as our candidate-facing platform Xperience. Cash used in financing activities was reflective of the share repurchase that I noted a moment ago as well as the final payments of contingent consideration related to Mint and Lotus acquisitions completed in 2022. This brings me to our outlook for the first quarter. We're guiding to revenue of between $235 million and $240 million. The sequential increase is being driven by organic revenue growth in the number of travelers on assignment as well as a small amount of labor disruption revenue. We are extremely encouraged to see the number of travelers rising throughout the first quarter and anticipate to exit the quarter 2% higher than the fourth quarter average. We are guiding to an adjusted EBITDA range of between $4 million and $5 million, representing an adjusted EBITDA margin of approximately 2%. As a reminder, we expect payroll tax to negatively impact the first quarter by approximately $2 million. Adjusted earnings per share is expected to be a loss of between $0.04 and $0.06 based on an average share count of approximately 31.5 million shares. Also assumed in this guidance is a gross margin of 19.5% to 20%, net interest income of $300,000, depreciation and amortization of $4 million, stock-based compensation of $1.3 million and a tax provision of approximately $400,000. Though we only guide one quarter out, we anticipate that both revenue and profit will improve throughout the year as we aggressively pursue organic revenue growth across all lines of business as well as continue our cost containment efforts and realize efficiencies through technology and further leverage of our operations in India. Given the investments and improving market conditions, we are looking to exit the year with fourth quarter revenue above $250 million and an adjusted EBITDA margin of between 4% and 5%. And that concludes our prepared remarks, and we'd now like to open the lines for questions. Operator?
Operator: [Operator Instructions] First question from Trevor Romeo with William Blair.
Trevor Romeo: Kevin, welcome back. Just wanted to maybe start by following up on your comment, I think, about exiting 2026 at those run rates above $1 billion in revenue and I think 4% to 5% EBITDA margins. So, first on that, I guess, what is your confidence in achieving that goal? And then second, particularly on the margin side, that is quite a bit higher than where you're exiting '25. So maybe you could just help us understand a bit more what needs to happen or what levers you need to pull to get up to those margin levels at the end of the year?
Kevin Clark: Yes. Thanks, Trevor. It's great to be back. Look, we have a high level of confidence in what we just described in our comments. We have a large pipeline coming out of last year from the sales side, MSP and VMS. We've got what we think is market-leading technology with Intellify. We have a whole house strategy of bringing Intellify across all of our divisions for our customers. We have a terrific balance sheet. As you know, we have cash on hand to invest in the business. We've recently ramped up our revenue producers, and they're driving great results. We're going to see quarter-over-quarter growth with our core business. And our second largest business, we also are very optimistic in the second quarter with our locums business as well. Things are going to come together really great. We think the market has stabilized, and we think we're extremely well positioned I'll also point out that we're excited to celebrate this month our 40th year being in business. For 40 years, Cross Country Healthcare has led this industry with clinical excellence. We are the trusted brand in the marketplace. So when I put all those things together, I personally have never been more excited about the market conditions and our own ability to excel and you take a look at our balance sheet and our positive cash flow, and I think we're poised for a lot of growth this year. Bill, you might want to cover from the margin perspective, a few more comments.
William Burns: Of course. Trevor, so look, as Kevin said, I think in his comments, we've made a lot of investments to start out the year. We took out several million dollars in cost and redeployed that in revenue producers. So those investments, we do expect -- we're already starting to see return on that investment. So that's part of the growth story sequentially, an improving market backdrop in travel. Our home care business continues to do very, very well. Education is doing well as well. So you look at that the trajectory on the top line. But I would say from a margin perspective, we're not sitting today looking at a very big gross margin expansion, especially from the pay bill side. I think we're still in a very hypercompetitive market when it comes to that. But there will be some margin appreciation, notably as the businesses with the margins that are above the consolidated average, our home care, our physician business and our education business, those will continue to produce a better mix. So the margins will lift up on the gross margin side. But in truth, the opportunity to get to the 4% to 5% that Kevin called out is really about operating leverage. So besides the fact that we're going to get return on the investments, we've got plans to continue to look at offshoring more work to our center of excellence in India. We've got identified actions around automation of activities of the things that we're doing. And candidly, we're not leaving any stone unturned. So I think from the standpoint of how we envision exiting the year, north of $250 million and that 4% to 5% seems very doable.
Trevor Romeo: Great. That was going to be my follow-up on kind of gross margin versus SG&A. So, I appreciate that, too. And then maybe just shifting over to your balance sheet and capital allocation. So having no debt, I think, in this industry seems like a pretty big advantage right now. Maybe specifically thinking about M&A, what kind of opportunities and pipeline do you see out there? I think we've heard from a lot of people in the industry that travel would benefit from consolidation. Are you still maybe more focused on expanding the non-travel businesses? Or would you be more interested in consolidating travel at this point? Or how are you thinking about the acquisition strategy going forward?
Kevin Clark: Yes, great question. Look, it's a disciplined capital allocation strategy. We're being patient. I will say coming back into the seat and with the termination of the merger, literally, the phone has rung off the hook for the last three months. So we've had a lot of interesting discussions and meetings and so forth. We know that our future path is all through our footprint of customers. So as we look at kind of strategic allocation of our capital and we look at acquisitions, we're not looking at more supply partners or third-party suppliers. But our ability to invest in our technology platform to grow our footprint of clients and our customers that's areas that we're excited. We're also very excited about our home-based staffing division. We think we've had a lot of growth there. We think we'll continue to see a lot of growth. We're looking for accretive tuck-in acquisitions in a division like that. We certainly like the locums area quite a bit. So it's being patient. It's looking at the marketplace. And to the point that you made earlier, it's -- the other thing is some of our competitors are over their skis somewhat in terms of their balance sheet. And we think it's an excellent time for us to be in the market with a strong balance sheet, and we'll look to consolidate where we can.
Operator: Our next caller is Constantine Davides from Citizens.
Constantine Davides: I wanted to maybe touch on technology a little bit. In the release, you put in a lot of metrics around Intellify. And then I think you referenced outsourcing Intellify to some other staffing companies. So I wanted to get some color there. And then when you talk about expanding its use to other markets, is that home care, education, locums, just a little bit more detail there? And then how -- what kind of time frame is there to sort of expand that platform into some of those other markets?
Kevin Clark: Yes. I'll start with the last question. The time frame is 2026. We're excited to have a whole house strategy. We believe with the consolidation of large health care systems, we need to be a provider of solutions, not just for nursing and allied, but also for locums, also for home-based staffing. What our strategy is -- parallels is the continuum of care. The way we have diversified our company is to be wherever we need to be from a talent acquisition perspective, providing solutions to our clients across that continuum of care. So the technology that we've built, we've been building it for the last four years. We're well on our way to diversify that offering across all of the divisions. We already have -- to your point, we have licensed the technology to other companies in our industry. We have also provided a vendor-neutral VMS strategy in this industry in addition to our MSP. We have an existing footprint of locums and VMS for that particular market. So, these other divisions, we will be coming to market later this year, hopefully, sooner than later, and we'll be happy to update you on that. I don't know, Amiee, do you have any additional comments?
Amiee Hawkins: Kevin, I would just share that we have a really healthy pipeline around those items all the way through from MSP, VMS to whole house. So, I think, again, I would echo you, more to come early in the year.
Constantine Davides: Great. And then just a follow-up. Obviously, a lot of strike activity out there in the market. It sounds like you're going to benefit from that somewhat in the first quarter, Bill. I just wonder if you could size that for us. And then I'm just curious, are there any negative effects from all this activity just in the sense of your own ability to staff on behalf of your clients?
Kevin Clark: Maybe I'll just start, and I'll throw it over to Bill. Look, we've participated in two events, two strike events, two labor disruption events. It's not material for us this quarter. We have a terrific division in CRU48. We're prepared as there's future labor disruption events to participate. We have a strong track record of providing crisis staff historically, and we feel very confident that we could stand up whatever -- one of our clients may require. But I don't know if you want to size more on.
William Burns: Yes, Constantine, I would just say, look, from a labor disruption perspective, to Kevin's point, we support it to. It's not our core business. We will do it certainly with our clients. These events were not our clients, but we do -- we will support where it makes sense. So we had some labor disruption revenue in the first quarter. It will be in the single millions. That's why Kevin is saying it's not really overall material, and it's not included in those travel metrics we're talking about with the TOA, with our travelers on assignment, excuse me, that is ramping continuously throughout the first quarter and into the second quarter.
Operator: Would you like to go to the next question?
Kevin Clark: Yes, please.
Operator: Tobey Sommer with Truist.
Tobey Sommer: I wanted to ask a question about the sequential momentum that you think you have going into 2Q. Is that something you're already seeing in sort of your weekly revenue runs? Or is that a product of putting together the pipeline and the new sales resources and sort of probability weighting and eventual impact from the combination of those two.
Kevin Clark: Tobey, nice to hear your voice again. Look, I don't want to speak in hypotheticals, but we were under a merger agreement last year and perhaps our results were suppressed because of that process that we were through. So, as we enter 2026, we have a lot of momentum. And this company was poised, I think, for growth because we've seen a stabilization in orders. We have some wonderful clients. If you look at our specific orders, our MSP orders are up from Q4 to Q1 or direct MSP indirect orders, I will say. So if you look at in terms of the way we look at the business, I mean, there's plenty of demand out there. There's also plenty of competition. But this company moving forward in this year is all about sharpened execution, about rigor and discipline about getting the culture right, restoring the momentum coming out of that merger period of time. But Marc, you might want to add some color?
Marc Krug: Sure. Tobey, Yes, we are realizing some sequential momentum. And we invested heavily in revenue producers late in the year. We have tweaked our model so they ramp up much faster, and the results are very positive so far. We expect to continue to ramp up and gain momentum.
William Burns: And Tobey, this is Bill. I just would add. We're sitting here in March. Obviously, these are 13-week assignments. We have a pretty good lens certainly into the first four to six weeks of Q2. So we've got a pretty good optimistic view that, that is going to continue on that trajectory. We obviously are following our production weekly and are able to forecast that out.
Tobey Sommer: Thank you for that answer. In terms of what you're seeing and what you think the market is like, how would you compare and contrast your own experience? And I understand contextually, we've got the merger agreement towards the end of last year and maybe some latent ability to perform better. But I'd love to hear whether you're saying that the market is, in fact, turning or this is really just market stabilization and you're performing a little bit better?
Kevin Clark: Well, I definitely can say we're performing better than we were last year. And our goal is, from a historical perspective is to grow above the market averages. And I think everybody that works in this company feels that way. But I think some of the strategic decisions we've made, some of the operating leverage that we have from our center of excellence, for example, in India, some of the technology that we've deployed in the company and are deploying, we are AI-first technology platform for our client side, but we're also an AI-first company from the delivery perspective. So we're clearly managing the business better. But as I said earlier, direct orders, MSP orders are up quarter-over-quarter. I think we've seen stabilization of bill rates. Average bill rates now are around $90 to $95. We didn't get the typical bump up in Allied Health this winter, which means that we won't see a step back in the second quarter. So we'll see a consistent quarter-over-quarter improvement in both Allied and Travel Nursing. So, I think, I can't speak for the rest of the industry, but we're very optimistic. We're very excited about this company. We're very excited about the position that we have and our ability to execute for our customers and grow our market share this year and get back to a trend line where we are outperforming the industry averages.
Tobey Sommer: If I could ask two brief ones. What are you hearing from customers about the prospective and prior changes to federal funding within the health care system? And I guess, the subsidies on the exchanges come to mind in terms of sort of current stuff and then Medicaid in nine months or a year. And does your fourth quarter revenue level that you kind of outlined, does that include any kind of strike revenue at this point? Or would that be considered sort of core revenue at this stage?
William Burns: I can take the latter part, Tobey, this is Bill. The fourth quarter revenue does not have labor disruption in it of any significant level at all. The numbers I called out a moment ago really reflect the first quarter guidance.
Kevin Clark: Yes. I mean in terms of the first part, I mean, we haven't noticed anything unusual in the marketplace. We're looking at certain segments like that don't really answer your question. But I think, for example, with foreign trained nurses, the backlog is slowly clearing. So we're keeping an eye on retrogression. It still exists because of annual visa caps, but we think that there's a greater appetite for international nurse candidates as well. So we're seeing different things. I think nationally, we're seeing kind of a broad usage of contingent labor. I think health care systems are getting smarter. Obviously, there is a cost environment that is tight. And that's why we excel because we are not a staffing company. We are a technology company that provides staffing, and we can help our customers with solutions, whether that's building their own talent pool, managing their -- managing that talent pool with our IRP technology or helping them either in a vendor-neutral situation or as a primary supplier.
Operator: [Operator Instructions] Our next caller is Kevin Steinke with Barrington Research.
Kevin Steinke: I wanted to start off first by asking about your comments on the sequential progression in revenue as we move throughout 2026. Are you just -- they're referring to that you expect the year-over-year rate of change in revenue to improve in each quarter as we move forward, and we should still expect a typical sequential revenue pullback in the third quarter just due to education staffing?
William Burns: Yes, Kevin, this is Bill. I guess our lens right now, as you look at Q3 and Q4 into the back half is we're looking at sequential growth across all the quarters, even as the education business pulls back that's predicated on continued growth in the other lines of business, travel, home-based staffing, et cetera. So our lens is right now that we're going to see sequential progression all throughout. When do we get to year-over-year growth? We're expecting that in the back half. Is it Q3 or is it Q4? I think a little bit to be seen there, but I would hazard a guess it's going to be hopefully -- well, I shouldn't say hazard guess. I'll say we're looking at Q3 as the quarter we get back to year-over-year growth is our target, but that's going to be close. So we'll see if it's in Q3 or Q4. But we're on that right trajectory, and it's really about continuing getting the return on the investments we've made this year.
Kevin Steinke: Okay. That's helpful. And you expressed some optimism about locums, physician staffing moving forward. But specific to the fourth quarter, was there anything that you saw impact that business?
William Burns: Yes. I don't know that there's any one specific thing. It seemed to be a broader pullback across some of our larger specialties. We do have -- we concentrate in primary care, hospitalist, emergency medicine, anesthesia. Those were the ones that we saw the pullback. What was started in the third quarter is just a handful of clients was a little bit more widespread in the fourth quarter. But again, I do want to stress, we don't know how much of this is due to disruption or distraction from the merger because we've started to see the production, the weekly production already turn this year as we come into 2026. So the indications are that business is poised to start seeing sequential growth as we get into the second quarter.
Kevin Steinke: Okay. Great. Just lastly, you talked about the center of excellence in India and how that's helping drive cost savings. Can you maybe just give us some perspective on how that center of excellence has progressed over the last year in terms of capacity, what kind of work you're doing there and how much more capacity you have there that you want to build out there?
Kevin Clark: Look, I would say I think Cross Country has done an excellent job, as Bill pointed out in his comments, reducing our headcount by 21% over the past year. We've moved a substantial number of our business process and functions to that center of excellence in Pune, India. We now have approximately between 700 and 800 employees that work there, and it's across everything from strategic sourcing and delivery to shared services to payroll and billing to IT and engineering. So we -- it's a full suite of employees that we have got a phenomenal culture there. We're very proud of the team, and they're very excited to be a part of our story, and they give us great net operating leverage. But Amiee, do you want to maybe add? You were just there recently.
Amiee Hawkins: I was just there, Kevin, thanks. I think it's -- clearly, you hit it on all fronts, but I think it's also important to note that they're doing a fantastic job of automation as well. So as we continue to automate there and move additional pieces offshore, we just continue to see better and better results.
Operator: Our next caller is Bill Sutherland with Benchmark Company.
William Sutherland: I wondered if you were starting to look at an AI strategy across the enterprise. I'm sure you are. Kind of where do you think you can apply it in the next year or two?
Kevin Clark: Yes. Bill, yes, great question. We're infusing AI and Agentic AI throughout the enterprise. So we have an enterprise-wide strategy. In particular, we're leveraging Agentic AI in the way that we provide delivery and recruitment. So our processes there are becoming more and more automated. We're leveraging AI technology in our locums business, for example, around the credentialing component. We think there's an opportunity. One of the things we talked about in our earlier comments is delivery speed and accelerating. And so a lot of what we're doing strategically is accelerating our ability to deliver candidates at the right moment for our customers wherever 24/7. So we're leveraging that technology almost in every part of the company, and we're constantly evaluating new tools and business processes that we want to automate. And I think it also goes back to why I think I'm very excited about the market environment we're in. We believe as a innovation company, a technology-led company that over time, we can take a tremendous amount of cost out of our company, and we could see our margins -- our EBITDA margins grow over time by getting operating leverage from technology. So, we employ a lot of people, both here in the U.S. and offshore, as I mentioned, in the IT area. And we are -- we'll continue to invest. And again, that also speaks to our strong balance sheet and our ability to leverage the cash that we have on hand to invest. We have a robust technology budget, whether it's projects that we have underway or CapEx.
William Sutherland: Got it. And looking at the home and education businesses, can -- is there a way to give us a sense of their relative size. They keep moving the needle pretty nicely. And I'm not sure kind of what percent of the business they are now.
William Burns: Yes, sure. I can give you that. This is Bill Burns. So home-based staffing is run rating north of $140 million annualized right now. And we -- as we said, we continue to see mid-single-digit kind of sequential growth, double-digit year-over-year growth on that business. And education, just we had a slight pullback as we came into the fourth quarter this year. So I'd say it's run rate at about $75 million on an annual basis.
William Sutherland: Okay. And that growth there is probably going to resume this year, Bill?
William Burns: Yes.
William Sutherland: Okay. The international side, do you guys have a pipeline that you're kind of nurturing right now?
Kevin Clark: We don't. We partner with others, but it's an area of opportunity that perhaps we will invest in downstream because we think it's an opportunity for us to have another important part of the supply chain figured out for our customers.
Operator: Ladies and gentlemen, this concludes the Q&A period. I'll now turn the call back over to Kevin Clark for closing remarks.
Kevin Clark: Thank you, operator. I'd like to thank everyone for participating in today's call, and we look forward to updating you on our progress on the next call. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.